Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Liberty Interactive Corporation 2017 Third Quarter Earnings Call. During the presentation, all participants will be in a listen-only mode. Afterwards, we will conduct a question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded, November 9, 2017. I would now like to turn the conference over to Courtnee Chun, Senior Vice President of Investor Relations. Please go ahead.
Courtnee Chun: Thank you. Before we begin, we'd like to remind everyone that this call includes certain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, including statements about business strategies, market potential, stock repurchases, future financial performance, market conditions, future expenses at QVC, sales demand, customer growth, the proposed acquisition of HSN, the proposed acquisition of GCI, the proposed split-off of Liberty Interactive interest in GCI and certain Liberty Ventures Group assets and liabilities and the timing and expected benefits and synergies of these proposed transactions with GCI and HSN, organizational structure and senior executive team changes following the closing of the proposed acquisition of HSN, new service and product launches and other matters that are not historical facts. These forward-looking statements involve many risks and uncertainties that could cause actual results to differ materially from those expressed by such statements, including without limitation, possible changes in market acceptance of new products or services, market conditions conducive to repurchases, the satisfaction of conditions to the proposed transactions involving HSN and GCI, the availability of acquisition opportunities, competitive issues, regulatory issues and continued access to capital on terms acceptable to Liberty Interactive. These forward-looking statements speak only as of the date of this call and Liberty Interactive expressly disclaims any obligation or undertaking to disseminate any updates or revisions to any forward-looking statements contained herein to reflect any change in Liberty Interactive's expectations with regard thereto, or any change in events, conditions or circumstances on which any such statement is based. On today's call, we will discuss certain non-GAAP financial measures, including adjusted OIBDA, adjusted net income and constant currency. The required definitions and reconciliations, including preliminary notes and schedules 1 through 4 can be found in the earnings press release issued today, which is available on our website. This call also may include certain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 regarding Liberty TripAdvisor Holdings. These forward-looking statements involve any risks and uncertainties that could cause actual results to differ materially from those expressed or implied by such statements. These forward-looking statements speak only as of date of this call, and Liberty TripAdvisor Holdings expressly disclaims any obligation or undertaking to disseminate any updates or revisions to any forward-looking statements contained herein to reflect any change in Liberty TripAdvisor Holdings expectations with regard thereto or any change in events, conditions or circumstances on which any such statement is based. And now, I'd like to introduce Greg Maffei, Liberty's President and CEO.
Greg Maffei: Thank you, Courtnee. Good morning to all of you out there on the lines. Today speaking on the call besides myself we'll have Liberty Interactive's CFO, Mark Carleton; QVC's President and CEO, Mike George; and the President and CEO of zulily Darrell Cavens. During Q&A we'll be available also to answer questions related to Liberty TripAdvisor. On to the highlights. We continue to make progress on our pending acquisitions we expect to close the HSN deal in Q4 while it looks like the GCI deal has moved back in the queue. I'll talk a little bit more about where we are on that in a moment. Therefore the split off in creation of the two asset backed stocks which we began earlier this year is most likely to be completed in Q1. I would note we've made a modest change regarding the treatment of the 1.75 charter exchangeable as the part of the split off Mark Carleton will go into that a little more detail in a minute. QVC I'm going to talk about them now, on to the highlights there. QVC grew operating income, constant currency revenue and adjusted OIBDA in all of its markets. Importantly, U.S. revenue was up 3%. With the quarter both the U.S. gross margin improved and the primary drag on OIBDA margins was higher incentive comp which Mike will talk about in a moment. The consolidated mobile penetration reached 64% of all the QVC.com orders up 530 basis points confirming our good positions with respect to mobile and mobile phones. Mike will go into that into further detail rather on our holiday plans for Q4 as well and I'd note from August 1, to October 31 we repurchased $477 million of QVC shares. Please do recall that once the HSN proxy is mailed and effective, we will not be able to repurchase shares until after their shareholder vote. On to zulily. zulily's results were challenging as we expected during the quarter, but the shape of the revenue growth during the quarter was positive, and Darrell will discuss the progress we're making there to get back to growth and we're excited about the impact we're seeing from the initiatives he will outline. At Liberty Ventures, QVC – GCI's results, rather, were negatively impacted by weakness in the Alaskan economy, but the business remained sound. Our deal there, as I've noted, has been pushed back but is on track. We have received approval in the last few days, both from the SEC and the Alaskan regulators, as I noted, we expect to close in the first quarter. TripAdvisor certainly experienced a tough quarter for online travel in general and TripAdvisor in particular, with headwinds from Google and mobile. We understand it's been frustrating to all involved, including me. We continue to improve our hotel shopping experience and continue with our advertising campaign and beginning, we believe, to see traction with that. Our community and content, importantly, continue to grow at a healthy pace and we are developing a strong position in the related attraction and restaurant markets. With that, let me turn it over to Mark Carleton to talk about our financials.
Mark Carleton: Thank you, Greg. As Greg mentioned earlier, in the proposed split-off, the 1.75% of charter exchangeables will now be reattributed to QVC Group at the time of the split-off, along with approximately $590 million in cash and an indemnity for any payments in excess of principal and interest, which will be partially offset by any tax benefits associated with an early extinguishment of debt. QVC Group will also have a negative pledge on referenced charter shares at GCI Liberty. So Liberty Interactive will use commercially reasonable efforts to repurchase its debt within six months from closing and get this cleaned up. Effectively, we made this change because the combination of the increased price in Charter and our initially proposed exchange offer would have impaired our ability to deduct the interest. And you guys know how we value our tax deductions. So certainly, we can talk about that more at our – we'll talk about that a little more at our Investor Meeting next week, but that's that. Now let's take a quick look at the liquidity picture. At the end of the quarter, the QVC Group had attributed cash and liquid investments of $383 million and $6.2 billion in principal amount of attributed debt. QVC's total debt to adjusted OIBDA ratio, as defined in QVC's credit agreement, was approximately 2.7 times, which includes zulily's adjusted OIBDA, as compared to a maximum allowable leverage ratio of 3.5. Now I'll hand it over to Mike George for some additional comments on QVC. Mike?
Mike George: Thank you, Mark. We're very encouraged by the positive results in the quarter and the traction we're seeing on some of the major strategic initiatives we've been pursuing. Every segment, QVC U.S., QVC International, our China joint venture and zulily, generated year-over-year revenue growth, and the rate of growth across every segment accelerated relative to Q2. We delivered strong operating margin expansion at QVC and achieved our first profitable quarter in China on an adjusted OIBDA basis. And we've seen healthy growth in new customers across QVC U.S., QVC International and zulily. We also made good progress on our integration planning with HSNi. And we're delighted to announce a few weeks ago the new leadership team that will take effect when the transaction closes expected later this quarter. QVC's consolidated revenue grew 4%. Operating income increased 19%, and adjusted OIBDA grew 5% on a constant currency basis. Digital penetration rose sharply, with global e-commerce and mobile penetration growing 310 and 530 basis points, respectively. In the U.S., revenue increased 3%, reflecting 9% higher unit volume. That's our highest unit growth in nearly three years. Average selling price declined 4%, largely reflecting mix shift, including in electronics where sales moved from the higher price point computers to smart home products. As we discussed on prior call, approximately 1% of the revenue reflected shipments that were delayed from Q2 into Q3 as a result of a systems outage in June. Operating income increased 14%, and adjusted OIBDA increased 2% in the U.S. OIBDA margin declined 20 basis points, driven by personnel-related expenses that had net $11 million negative impact. That's $19 million in higher incentive compensation expenses in the quarter since we did not pay a management bonus in the U.S. in 2016, partially offset by $8 million in lower severance costs from the prior year. Normalizing for these impacts, adjusted OIBDA would have increased 80 basis points or 5% over last year due to higher product margins and lower bad debt expenses, which were partially offset by marketing investments, our inventory obsolescence and initial HSNi integration consulting cost. In Q4, we anticipated incentive compensation in the U.S. will increase year-over-year by $5 million to $10 million, and we'll recognize the majority of our HSNi integration consulting cost, estimated to be about $5 million. A year ago, we told you that the uncharacteristic sales decline we were experiencing in the U.S. reflected a number of, we believe, largely independent factors across a handful of challenged businesses, and we detailed the actions we were taking to improve results. I'm proud of how well our team has executed against those actions, staying focused on our goals of returning the business to what we believe is healthy, sustainable growth and building strong, long-term customer relationships, all while taking on the added challenge of the HSNi integration. I note six particular highlights this quarter as we return to growth in the U.S. First, we drove balanced growth across most categories while keeping our commitment to increase newness and diversity in our assortments. Second, every important measure of consumer engagement increased: viewing minutes on broadcast TV; viewing minutes of our live streams on OTT platforms and digital sessions. Third, we successfully deployed a heavier level of marketing spend to profitably acquire high-quality, new customers on digital platforms, which leads to the fourth point. We brought in an outstanding new customer class, our second-largest third quarter class in 15 years. Fifth, we grew sales without being excessively promotional or harming our financials. Clearance sales were down. Bad debt expenses declined for the third consecutive quarter, and we continue to purposely lower S&H fees in ways that we can absorb into our P&L. And finally, we remained focused on disciplined cost management to fund growth investments and strengthen OIBDA margins when adjusted for the incentive compensation impact. So with that overview, I'll touch on a few of these topics in greater depth. I stressed on prior calls that category balance is important to our business health, and so we were pleased to see sales gains across most categories. Looking more specifically at the five challenged businesses that drove our downturn over the prior year, three returned to strong growth. Kitchen and cook saw solid gains as we expanded our food category, grew premium cookware, and the new Copper Chef brand and returned to growth in kitchen electrics as we worked closely with our major partners, like Keurig, KitchenAid and Vitamix, to present more compelling offers to our customers. Handbags came back strong on great new products and values from Dooney & Bourke and growth in newer brands like Kipling and Lug. Electronics enjoyed strong growth and smart home and security assortments from Ring and Blink along with products from Amazon – Fitbit and HP. Hair care and jewelry continued to decline; however, the rate of decline slowed despite substantially reducing airtime in both categories. And in addition, our apparel, our accessories and our beauty businesses all achieved strong results. We continue to lean into freshness and discovery across categories, introducing over 2,400 new items and 133 new brands in Q3, both significant increases from a year ago. Particularly strong introductions included Catherine Zeta-Jones' home line, Inspire Me! Home Decor, Charisma and home textiles, the Grace Kelly jewelry collection and several brands we brought in from our international markets, including Radley London handbags, The Real Pie Company and Charlie Bears decor. We're also extremely pleased with the introduction of Martha Stewart's signature collection. We launched with a cookbook in August, which quickly sold out. In September, her fashion collection had an outstanding debut, and her gardening tools delivered strong results as well, both with many sell-outs. In October, her holiday planning and gourmet food line debuted with strong demand. And this month, we'll introduce her new skincare line. This multi-category lifestyle launch is a perfect example of the combined power of great products that can't be found elsewhere, the compelling and highly credible personality like Martha and the platform we have to showcase both. We're increasing consumers' engagement with our brand. For QVC and QVC2, total viewing minutes on broadcast TV platforms increased in the mid-single digits. This reinforces our belief that our targeted viewers are the least likely to engage in cord-cutting. And if they do cut the cord, they're likely to shift to free over-the-air viewing where we also have a strong presence. And when we offer compelling products and inspiring programming, they tune in. Our Christmas in July programming and high-profile events related to Fashion Week and the Emmys generated strong viewership as did celebrity shows with Scott Brothers, Lisa Rinna, Marie Osmond, Martha Stewart, Catherine Zeta-Jones and Dale Earnhardt Jr. In addition, this viewing increase actually understates total viewership growth because it doesn't include our Beauty iQ network, now available in 46 million homes; and it doesn't include viewing on any over-the-top platform where we're seeing dramatic growth, albeit from a small base. On Roku, the number of devices on which contents we streamed and average number of minutes streamed per player each more than doubled in Q3 from a year ago. On Facebook Live, where we simulcast 100 hours per week of programming from our three U.S. networks, along with specially created Facebook programming, video views and minutes viewed increased 407% and 185%, respectively. And on our own web and app platforms, live streaming grew fourfold. We're also seeing consistent increases in visitors to our digital platforms, up 4%, and sessions up 6%. As a result, e-commerce grew 300 basis points to 54% of U.S. revenue and mobile grew 490 basis points to 63% of e-commerce orders. As I mentioned on the last call, we recently created dedicated teams focused on enhancing our digital-only product assortments to drive discovery and additional purchase occasions. They have made great strides expanding our digital offerings with approximately 50 new brands introduced exclusively on our web platforms, including Nine West and Hamilton Beach, as well as extending the product range of existing on-air brands. One of the drivers of our improved electronics growth, for example, was expanding product offerings online and ensuring competitive pricing at S&H practices. I also shared that we would be investing in additional online marketing, and we're encouraged to see early success driving new customer acquisition. Recent marketing initiatives include improvement of visibility and relevancy of the products that appear in Google product listing ads; refocusing our affiliate marketing programs on new and less engaged customers by bringing in partners who focus on apps and mobile, two areas where we've been very successful reaching new customers; and expanding our presence on social platforms where we can leverage our ability to create and deliver highly relevant content, including live video, to an increasing number of viewers. The result of all these efforts – growing broadcast viewing minutes, making our programming accessible across a broad range of OTA and OTT alternatives, enhancing assortments and increasing our marketing investments – enabled us to add nearly 417,000 new customers in the quarter, our second-largest third quarter of new customer class in 15 years, up 7% over the prior year. Nearly 80% of these new customers purchased through digital channels, 44% through mobile alone. And perhaps most encouraging, these new customers acquired through mobile and e-commerce are demonstrating some of the best retention rates we've ever seen, which we know indicates strong lifetime value. We achieved these new customer gains, along with top line growth, without being excessively promotional in ways that would damage our financials or erode customer trust. We continue, as we have in prior quarters, to purposefully reduce shipping and handling revenues to mitigate long-term risks while still increasing gross margins. Our Easy Pay program remains an important competitive advantage, which we continue to leverage while, at the same time, improving our credit profile, with bad debt expense declining every quarter this year. Finally, we remain focused on disciplined cost management. Over the past year, we've ramped up our global business service center in Poland, reduced corporate headcount and drove several freight-reduction initiatives, which we believe will result in long-term benefits, including consolidating orders, leveraging the combined volume of QVC and zulily to negotiate new carrier agreements and opening up our new DC in California. Turning now to our international segment, our team delivered an outstanding quarter on the top line, on the bottom line and in new customer growth. Revenue grew 5%, with unit volume up 10% and ASP down 5% on a constant currency basis. We saw gains in apparel, accessories, beauty and home. Further, we achieved top line gains in every market with particular strength in Japan and the UK. Operating income grew 36%, and adjusted OIBDA was up 18% in constant currency. OIBDA growth was driven primarily by higher product margins, lower inventory obsolescence expense, volume leverage on fixed expenses and anniversary-ing the cancellation of our stadium naming rights in Japan a year ago, which provided 55 basis points of benefit in the quarter. While the U.S. has been our focus on recent earnings calls, our international segment should not be overlooked. It is a highly profitable business with last 12-month revenue of $2.6 billion, and Q3 represented the 13th consecutive quarter of constant currency revenue growth. And in our joint venture in China, we continued the sales rebound, with local currency revenue up 11% in Q3. And we were delighted, as I noted earlier, to generate our first-ever OIBDA-positive quarter in China. In closing, we're pleased with the momentum across our QVC markets and with zulily, and we're encouraged by our progress with HSNi integration planning. Last month, we announced the new organizational and leadership structure for the future company, and we'll be sharing more details on our plans for the combined business at next week's Investor Day. And with that, I will turn it over to Darrell to cover zulily results.
Darrell Cavens: Thanks, Mike, and thanks, everybody, for joining today's call. We're excited by the momentum we saw in Q3 as we head into holiday. We've built particular momentum in August and finished strong in September. Our acceleration in part is being driven by our success in growing active customers, which began to accelerate in Q3. After a 2-year period of relatively flat customer growth, we added 300,000 net active customers in Q3, bringing us to an all-time high of 5.3 million at quarter-end. This growth is a result of the reorientation of our marketing efforts. We're expanding the reach of our marketing dollars by exploring new channels with more targeted and diversified advertising. We've continued to innovate and invest in technology in order to provide each customer with a more personalized site experience while using urgency drivers such as Deal of the Day and midday marketing pushes to drive shoppers from consideration to purchase. As we continue to innovate on our customer experience, I expect to see our active customers continue to grow. Revenue in the third quarter grew 2% year-over-year. Our momentum picked up in the second half of the quarter, with September growing about 8%. Revenue growth was primarily attributed to a 6% increase in total orders placed, driven by an increase in active customers, partially offset by increased backlog due to timing of orders within the quarter. In addition, units per order increased, offset by lower ASP. In Q3, our operating loss decreased by 15% year-over-year, with the improvement driven by decelerating amortization of our intangible assets related to purchase accounting. Adjusted OIBDA decreased 33% year-over-year to $12 million, driven by a 250 basis point reduction in gross margin rate. The decline in gross margin rate was primarily due to higher fulfillment and shipping costs associated with more units sold at a lower ASP, an increase in promotional tests and higher supply chain expenses from increased international shipping and the ramping of our Pennsylvania fulfillment center. We expect to see some of these drivers continue to exert pressure on margin performance through year-end. Now I'll highlight some of the investments in Q3, which I believe will help drive our growth for holiday and into and through 2018. We successfully executed several key supply chain initiatives. We completed the automation of our Pennsylvania fulfillment center, which provides capacity for holiday and allows us to deliver products one to two days faster for our customers in the Northeast. This also provides more storage for zulily partner services, our third-party fulfillment program, which gives us the ability to ship those units the same day. We also continue to see significant growth from our cross-border program, which includes sourcing and fulfillment directly from China to our U.S. customers. In Q4, we'll expand this program to customers in our two largest international markets: Canada and Australia. Additionally, our merchandising team continues to build a pipeline of new, large national brands and source unique products for our customers to discover. In Q3, we launched a Jones New York in women's and LORAC in the beauty category. We continue to see growth in our women's footwear and home categories. Additionally, we've seen strong growth in the men's business. We continue to leverage our QVC vendor introductions. And in Q3, we launched Dell with great success. Lastly, we continue to focus on customer programs to provide added value to the overall customer experience. Together with Synchrony Bank, we executed a successful launch of the zulily Credit Card, which is off to a great start. We exceeded expectations, with over 60,000 new credit card accounts opened to date. We're seeing a meaningful lift in average order value when compared to non-zulily Credit Card purchasers. The net economics from the credit card program will allow us to further invest in additional customer rewards with the goal of driving higher customer retention and increased spend. The zulily Credit Card is a great example of leveraging the QVC relationships to improve the customer experience while also adding value to the group. I'm thrilled to see the growth in active customers and the opportunity ahead for zulily in Q4 and beyond. While I would be transitioning my role – excuse me, from my role as President and CEO of zulily to lead the new Ventures division for the QVC Group once the acquisition of HSNi is complete, I still care deeply about the zulily team and the brand we've built. I will stay based in Seattle, involved in strategic direction for zulily while shifting my focus to drive innovation, invention and to help redefine the shopping experience for the larger enterprise. Looking forward, I'm confident the business will continue to thrive in the hands of our Chief Merchant, Lori Twomey, who will assume the role as President during the interim period. Lori has been an incredible business partner, driving the business with me and the whole executive leadership team since we launched in 2010. She's helped materially define zulily and differentiate us amongst our competition. Her customer obsession is unparalleled, and she's a champion for innovation and a proven leader. I can't imagine a better person to help steward the business and continue to drive towards our goals. With that, let me turn the call back over to Mark.
Mark Carleton: Thank you, Darrell. Moving on to Liberty Ventures liquidity, at the end of the quarter, the group had attributed cash and liquid investments of $512 million and $1.9 billion in principal amount of attributed debt. The value of the public equity method securities, including Liberty Broadband and other public holdings attributed to the group, was $5 billion and $2.4 billion, respectively, at the end of the quarter. And now I'll hand it back to Greg.
Greg Maffei: Thanks, Mike, Darrell and Mark. And to the listening audience, we appreciate your continued interest in Liberty Interactive. And with that, operator, I'd now like to open the call for questions.
Operator: [Operator Instructions] Your first question comes from the line of Eric Sheridan with UBS.
Eric Sheridan: Thanks for taking the questions and Mike, thanks for all the color in terms of the transition over the last 12 months. I want to focus in on digital and mobile. As these new sort of digital-first and mobile-first customers come on to the QVC platform, I want to understand if there's anything new you're calling out for folks in terms of categories that you're focused on or shopping tendency of those customers that might be different from a typical QVC customer. And then second, can you characterize where you are in your digital and mobile efforts in the U.S. versus internationally for folks?
Mike George: Yes, thanks, Eric, for the question. What's, I think, most encouraging about the customers we're acquiring on the digital platforms is, broadly speaking, they look like any QVC customer. So there are certain set of product categories that tend to do a better job of attracting new customers in general. Electronics is a better category, some of the lower-priced home products, well-known national brands. And I would say, broadly, the folks joining on mobile or digital platforms are coming in on the same kinds of product categories. And again, the most encouraging part is we just seem to be attracting a high-quality customer with a higher level of average retention. Our retention for many years ran at the 35% to 36% rate, meaning we kept 35% to 36% to get to a second purchase. Now that's inched up over a couple of years to 40%. It tends to be a leading indicator of life time value. So a healthy, diverse mix of customers we're bringing in on digital platforms, broadly performing the same as the traditional QVC customer. In terms of where we are on our digital efforts, I would say the U.S. has generally been our lead market both in adoption of digital platforms and in – where we tend to deploy innovation first. But we've been doing a lot of work over the last few years to globalize our digital platforms. We're not completely there, but we're probably 80% there, and that enables us to take something like a new mobile app and launch it simultaneously in multiple markets. So we're able to get innovation to the international markets faster. And so generally speaking, they are kind of keeping up with or even somewhat ahead of the growth that the U.S. is seeing on digital platforms, but they do start at a lower base. So overall, e-commerce penetration tends to be lower in the international markets. Within that, their mobile penetration tends to be same or higher than the U.S., so they're fully embracing the mobile platforms.
Eric Sheridan: Thanks.
Operator: Thank you. Your next question is from the line of Ed Yruma, KeyBanc Capital Markets.
Ed Yruma: Hey guys, thanks for taking my questions. I guess, first, on the total customer count at QVC, it does seem like it's ticking down a little bit or has for the last two quarters. You gave some great color on the new customers, but are you seeing any change of behavior at the tail end? And then I guess, second, it sounds like you made some adjustment to shipping and handling. Could you just give us an update on kind of what's free shipping and what's not and kind of how that progression could change your financials going forward? Thanks.
Mike George: Sure. Thanks, Ed. So on total customers, the number we typically report is a rolling 12-month customer count, so how many customers we've brought in, how many customers were active in the business in the last 12 months prior – versus the prior period. So that is slightly down. That really reflects history, right? That reflects kind of the weakness we had in the business in end of last year, start of this year. If you were just to isolate active customer count in the U.S. in Q3 only, in other words, how many customers were active in the business in Q3 of this year versus Q3 of last year, that more narrow window, you would actually see a modest growth in customer – in total customer count. It's up a couple of percent. So we'll still report on a rolling basis some weakness that reflects kind of the reality of the business six, 12 months ago, but we are pleased in the current period to actually see overall customer count grow. And that's because we are bringing in the new customers, and the retention metrics on the existing customers are absolutely stable, seeing no erosion at all, so really happy with the customer picture. In terms of shipping and handling, as you know, we made a big pricing adjustment a couple of years ago. And since then, it's been more about just trying to find the right opportunities where we could kind of strategically spend back some of our savings – or expense savings in ways that would be exciting to the customers. That could mean things like included S&H on a TSV, and about half of our TSVs go out with no S&H charges. Now that also may be funded by the vendors so that doesn't necessarily directly hit our P&L. Although we do – between us and the vendors, invest in free shipping on half of the TSVs. We'll occasionally do an event where we'll have free shipping and handling for a day. We want to do those very rarely because we don't want that to become a norm for how the customer purchases, but we find that we can do those a few times a year and get a lot of customer excitement without cannibalizing other times of the year. So those are the kinds of initiatives. I would say the other big thing we took on in Q3 is we launched three exchanges because we felt we could again fund that program. And so clearly, some of the feedback we've heard from our customers is they appreciated the lowering of our S&H charges that we did a couple of years ago. But one of the things they don't like is that if they buy a size or color and decide they don't like it and want to get a different size, they had to incur the cost of shipping that product, so now that's free, new program for us, well received by the customer fairly manageable investment in the P&L. So at this point, we don't anticipate any sort of radical changes. It's just sort of continuing to find the right ways to invest in lower S&H charges where we think there's either a sales benefit or just a real customer value that is meaningful, like free exchanges, and to do that in a way where we can, hopefully, continue to drive efficiencies at freight and other aspects of the P&L so that it doesn't – and/or get support from our vendor partners so that it doesn't have to erode our OIBDA margins.
Ed Yruma: Great, thanks so much.
Operator: Your next question comes from the line of Heather Balsky, Bank of America.
Heather Balsky: Hi, thank you for taking my questions. The first is housekeeping. Did you see any impact from the hurricanes? And then second, can you just talk about trends in shipping costs? It seems like there's inflationary pressures going into 4Q. How are you managing those? Thank you.
Mike George: Thanks, Heather. I'll make a couple of comments and Darrell, if you want to add anything. Hurricane impact was very modest for us, so probably a few million in lost sales at QVC and a few million at zulily, so not a material impact on the quarter, a tough week in a few locations and then a fairly quick bounce back. In terms of trends in shipping costs, clearly, it's an inflationary shipping environment in all markets, including the U.S., Japan. Japan has had a fair amount of inflationary pressure, but certainly, it's around the world. We do all we can to offset that. And because of our size and scale and leveraging the combined scope of QVC and zulily, and soon, HSNI, we're able to create pretty strong partnerships with our freight carriers and manage that inflationary impact reasonably well. We tend not to be subjected to some of the same kind of Q4 surcharges and other pressures that other retailers are. So it's a constant focus. It's both about continuing to try to find win-win ways to lower freight cost between us and our carriers as well as take on initiatives that we can control. For example, a big focus that zulily championed for a number of years, and now QVC is really trying to catch up with getting multiple items across multiple orders that customer places in the same day and at the same box. So as we increase our pack factor, that will improve our efficiency. Clearly, as we ramp up our West Coast DC, that will lower our freight cost to ship product to West Coast customers. So our goal is to always have enough initiatives in the hopper to try to offset as much of that inflation as we can. Darrell, anything else you would add?
Darrell Cavens: No. I think that's right. I mean, on the hurricanes, we also saw a fairly modest impact. I mean, we definitely saw it, but it's not a big driver of the quarter. And then in shipping, I would just – I would reiterate what Mike said and say that we have our teams working very closely on it. And I guess one of the areas from the acquisition side, a synergy perspective, our operations team is working very closely together and really working to drive those networks and technology together that, I think, over the next couple of years, is going to provide us more opportunity there. I mean just as we renegotiated our carrier contracts this year, being able to bring those together, has been some great long-term savings. And then I think through the technology platforms, we have a lot more to come. But it's going to take us a while to get there, but I feel good we're not going to see big changes here.
Heather Balsky: Thank you.
Operator: Your next question comes from the line of Alex Fuhrman, Craig-Hallum Capital.
Alex Fuhrman: Great, thank you for taking my question. I wanted to talk a little bit about your integration plans with HSN for after that goes through. First of all, I was a little bit surprised to see just in the leadership team announcement that there is a – not a lot of the top HSN team is going to be with the company going forward. Would be curious to get a little bit more color on, were a lot of the top leaders at HSN offered the opportunity to stick around just kind of the decision-making around how that transpired? And then just thinking ahead to the deal closing in Q4, do you anticipate that you'll have any ability to direct or coordinate the programming schedules between HSN and QVC in time for some of the peak holiday season days?
Mike George: Great, Alex, thanks for the question, so a couple of thoughts. The – overall, we just feel very good about how the integration process is going. It has been a highly collaborative process across the QVC and HSNI teams, and we really just established a strong partnership and a sense of teamwork going through a very robust and methodical process of both thinking through the synergy opportunities, how we want to operate the businesses and how we architect the organizational design and the leadership team that will let this combined business realize its potential, which we absolutely think is quite extraordinary. And so I wouldn't want to comment on any individual personnel decision, obviously, other than to say we – collectively, QVC and HSN started with a clean sheet of paper and started with how do we want to design this organization to work in the future and quickly agreed on some core principles of relatively independent business units, but these enterprise-wide growth teams that could add great value and growth potential across all business units and then bringing together technology and corporate functions in a way – and operations in a way that will drive quality, scale, efficiency. And then we just worked from there to place kind of the right people in the right roles. Had lots of discussions about aspirations and interests with our HSN team members. And depending on what they wanted to do, kind of ended up with the result that we see today. It is a very strong leadership team. Thrilled that Mike Fitzharris is going to be leading the HSN business unit. He is a long-standing QVC team member that has just done an extraordinary job, turning around the Japan business, which was something we talked about on many calls, they had the more challenged business; in the last few calls, we've been talking about as our shining star. Strong leaders in the shared service areas. Bob Spieth, who we acquired through zulily and now running operations for all these companies and been able to do the kinds of work that Darrell just touched on. Actually, the technology leader from HSNI will be taking on technology for the combined companies. She just has a – Karen has incredible depth and experience that we think will be meaningful as we bring together this very large technology-driven retail enterprise. So each decision was its own decision based on optimal design, aspirations of individuals, what we thought were the skills that were needed and just feel terrific about where we ended up, really excited about the new leader of Cornerstone. Claire has been part of the Cornerstone organization for a few years, amazing job, driving growth at Garnet Hill, which is one of the most shining stars of the Cornerstone portfolio. And now we'll be able to work her magic across that portfolio, so really happy with that structure. We just actually announced on Tuesday to our team the next level of organization design and the second level of the company. And in a few weeks, we'll be announcing the third level, so all that's working really well. On your other question, we'll talk more about synergies and opportunities at the Investor Day next week. But at a high level, we definitely think there's an opportunity to coordinate programming schedules to make sure that we're across our five U.S.-based networks, kind of optimizing every minute of airtime against every potential viewer and customer. And a lot to sort thru there, but we think there'll be really compelling ways in which we can increase customer choice. And by increasing customer choice in the programming schedule, we think we'll drive viewership and we'll drive sales.
Alex Fuhrman: That's really helpful, thank you Mike.
Mike George: Thanks.
Operator: Your next question comes from the line of James Ratcliffe, Evercore.
James Ratcliffe: Thanks for taking the question. Two, if I could. First of all, it looks like you restructured how you're handling the 1.75% charter exchangeables as part of GCI-Liberty transaction. It seems to me like you're basically ending up where you started, except you have the option to not refinance in Amerinotes. What's the background for the change? And secondly, I hate to jump ahead of a deal that hasn't closed yet, but once the GCI-Liberty transaction is done, you're going to have two vehicles with exposure to charter and one of those vehicles owning a large chunk of the other. Can you talk about how much of a priority it is to rationalize that situation and what any constraints on doing so would be? Thanks.
Greg Maffei: So on the 1.75% exchangeables, I think your analysis is exactly right. We're going through a lot of machinations to end up exactly where we started, and that was driven by as Mark Carleton noted, primarily by some IRS regulations and deductibility of the interest and the premium that's built into those bonds, which we wanted to ensure that we could achieve. You mentioned the optionality to refinance. It would be our intention to refinance immediately. It's not an obligation, but it is our intention. Our goal is to make it as seamless as possible to get back to exactly where we started but ensure deductibility. On the GCI having being a second vehicle GCI-Liberty, I think you note correctly that they'll be largely similar with the difference that the GCI-Liberty will also have exposure to GCI. It would probably be nice in the fullness of time to merge those if they are appropriately valued because it would just be simplicity. We're having two public vehicles which are largely overlapped if not completely, but it's not a requirement by any means.
James Ratcliffe: Great thank you.
Operator: Your next question comes from the line of Barton Crockett, B. Riley FBR.
Barton Crockett: Okay thank you for taking the question. And Mike, I was very interested in some of the commentary around QVC, and I was wondering if you can elaborate a bit on the growth on viewership. What drove that? Was that really just comping kind of all the distractions last year from the political situation? Or was there some particular programming that really got people excited? And then as – I know you guys don't like to guide, but there's been a lot of up-down in the trajectory. And just in general, can you give us your sense of how things feel heading here into the fourth quarter?
Mike George: Yes thanks, Barton. In terms of the viewership, what we're really pleased with is we are seeing this growth in viewing minutes, and it's been sort of probably consistently improving as we've gone through the year. What you see is the sort of person who've tuned in for 30 or 60 seconds, a very low engaged viewer, you're seeing less of them. That may be a reflection of cord-cutting. Those are folks that probably were never going to make a purchase, so it's sort of artificial viewership. It's someone kind of passing by the network. But folks who are spending any real amount of time on the network are pretty stable and actually spending and are viewing for more minutes than ever before, so we've really seen a big increase in minutes viewed. So what drives that? Probably, some of it is comping some tougher numbers from the year ago. And as you said, the distractions of Olympics and election and all the rest. Some of that, I do think is some really good programming. We've really tried to lean in as part of a turnaround initiative this year, just creating more programming excitement, more remotes, more just leaning into events and trying to make them more special, fun events like a big promotion for Dale Earnhardt Jr., that new color scheme on his last car that we not only broadcast on the network but on his Facebook platform and ours. So just trying to get creative about ways to get – try to get experiences in front of more people. I think all those things are helping. And then I'd also maybe state kind of the obvious, which is sales growth and viewership growth are a little bit of a chicken and egg kind of issue in our company, meaning what drives viewership is people like the product that they're seeing, and they stick around to see more of it. And what drives sales is more people viewing. So we know that if we are doing all the things I'd talked about that offer diversity and freshness on the calendar: more new brands, more new items, more items per minute, less time spent on the TSV, fewer minutes per item exposed. All those things build excitement, in the short term, can occasionally create pressures because you're trying a lot of things, but generally tend to drive more engaged viewers. And more engaged viewers tend to drive sales. So I think that easier comparisons certainly help, but I think all of those factors are making a difference for us.
Operator: Your next question comes from the line of Jason Bazinet, Citi.
Jason Bazinet: I know you guys are focused on free cash as we are, but I did notice that the D&A stepped down quite a bit in the quarter. And I was – I'm assuming that, that has to do with the roll-off of the amort related to the purchase of QVC from Comcast years ago. But I thought that was happening later. Are we starting to see part of that in the quarter? And will it get bigger as we move into 4Q?
Greg Maffei: Yes and yes.
Jason Bazinet: Okay, thank you very much.
Operator: Your next question is from the line of Victor Anthony with Aegis Capital.
Victor Anthony: Thank you very much. Few questions. One, the 3% growth in the domestic market, I was hoping that you could toss out the growth across the three individual months, just trying to get a sense of when the growth rate began to accelerate. And second to that is, I noticed that traffic to your mobile app in the domestic market jumped quite significantly in the month of October. So I was wondering if you could just kind of give us some sort of color into how – into the fourth quarter trends. I think there was a previous question on that. And third, on zulily, just wanted to get an idea of how zulily is positioned for the fourth quarter, Black Friday, Cyber Monday, some of the holidays? Thanks.
Mike George: Thanks, Victor. So I'll kind of dodge on any commentary about Q4. We really – as we had shared, once we kind of got through kind of the early stages of the turnaround, we revert it back to our traditional policy of just not commenting on the current quarter. In terms of how Q3 unfolded, and I always like to caution when we talk about growth rate by month, that we do move the programming schedule around, and so it's not always a perfect indicator of the trend in the business. So with the caution not to over interpret it, I would characterize Q3 as very solid July that we were pleased with. That's the month we really leaned into all of our Christmas in July programming, and we're very pleased with that programming, which generally exceeded our expectations. That's not always a perfect indicator about how the whole holiday season will go, but certainly, I always feel good when you jump into July and have strong Christmas programming. August was a very disappointing month for us. And in hindsight, I think we probably didn't manage the month right. That's – obviously, it's a tricky month in retail. It's a very clearance month. A year ago, we did heavy clearance because we really wanted to – as part of our turnaround, to clean our assortments. This year, we didn't need to do that because the inventories were cleaner. We also didn't think it was necessary because we felt we had a very easy comp in August because of the Olympics a year ago. But I think we misread that, and in hindsight, could have had better programming. So August underperformed our expectations. I figure some of that is our own execution. And then we had a really terrific September, just a lot of momentum across the business. Felt really good about the health of the business in September. And Darrell, remarks on zulily?
Darrell Cavens: Yes, I think I talked about a little in the script, but I think we saw something a little different in that July for us was soft and a little disappointing. I think we kind of accelerate into August and then much more kind of into September. So I think we felt like we had kind of good momentum coming out of the quarter. And I think as we look at this quarter, I think we continue to do all the things that we do every year. And we're focused to make sure that Black Friday and Cyber Monday is strong. But as Mike said, we're not giving kind of guidance or any information about kind of what we're seeing kind of intra-quarter.
Victor Anthony: Thank you.
Operator: Thank you. Your next question is from the line of Matthew Harrigan, Buckingham Research.
Matthew Harrigan: Well, thank you. I'll leave the synergy discussion for next week, but irrespective of any success or progress you're making at QVC France on the merchandising or distribution, how do you feel about your light model evolution? Is that actually getting easier as technology develops? And could that prospectively open up some smaller markets? Or is that just kind of a afterthought right now given everything else you have going on with HSN? Thank you.
Mike George: Thanks, Matthew. I would say it's a bit of an afterthought, honestly. I do think that, over time, there are – there'll be ways that we can penetrate more markets with a lighter touch model, as you suggested. It's really something we think about. I wouldn't say it's something we're actively exploring right now just because we do think we've got plenty of other priorities in addition to HSN and zulily. We really put a focus in our bigger markets on sort of taking advantage of some of the disruption in the carriage environment to expand our presence on traditional broadcast platforms and OTT platforms with more networks and more live experiences that feels like kind of the right opportunity for now. But I suspect as we get more experience under about our belts with France and continue to look at new ways to extend the model that there will be opportunities that will emerge, but that's probably a little bit down the road.
Matthew Harrigan: Thanks Mike.
Greg Maffei: Thank you, operator. That was our last question. Thank you all for joining us this morning, and we look forward to seeing many of you next week in New York at our Investor Day. If not, next quarter, we'll be on the line again. Thanks very much.
Operator: Thank you for your participation and ask that you please disconnect your lines.